Operator: Good afternoon, ladies and gentlemen, and welcome to Capstone Copper's Q2 2024 Results Conference Call. At this time all lines are in a listen-only mode. Following the presentation we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, August 1, 2024. I would now like to turn the conference over to Jerrold Annett. Please go ahead.
Jerrold Annett: Thank you, operator. I'd like to welcome everyone to Capstone Copper's Q2 2024 conference call. Please note that the news release and regulatory filings announcing Capstone Copper's 2024 second quarter financial and operational results are available on our website and on SEDAR plus. If you're logged into the webcast, we will advance the slides of today's presentation, which are also available in the Investor Section of our website. I'm joined today by our CEO, John MacKenzie; our President and COO, Cashel Meagher; our Chief Financial Officer, Raman Randhawa; our Senior Vice President, Risk, ESG, and General Counsel, Wendy King; and our Senior Vice President, Technical Services, Peter Amelunxen is also available for the Q&A period of this call. Following our brief remarks, there will be an opportunity for questions. Please note that comments made on the call today will contain forward-looking information within the meaning of applicable securities laws. This information by its nature is subject to risks and uncertainties, and actual results may differ materially from the views expressed today. For further information on the risks and uncertainties pertaining to our business, please see Capstone's most recent filings, which are available on our website and on SEDAR plus. And finally, I'll just note that all amounts we will discuss today are in U.S. dollars, unless otherwise specified. Now, I'll turn the call over to John MacKenzie.
John MacKenzie: Thank you, Jerrold. And good morning to those dialing in from Australia. We're pleased to present our second quarter 2024 results and achievements. Starting with Slide 5, our operations performed well during Q2 with consolidated copper production of around 41,000 tonnes at consolidated C1 cash costs of $2.84 per pound. We had a solid first half of 2024, achieving our H1 production guidance while slightly exceeding our cost guidance by $0.02. We're particularly pleased with our Pinto Valley and Cozamin performance, and importantly, our Mantoverde development project ramp-up remains on track and on budget. We produced first saleable copper concentrate during the second quarter as planned, and our team is focused on achieving sustainable production at design run rate levels. Cashel will provide more details on this a bit later in the presentation. As a result, we are reiterating our consolidated 2024 operating guidance, although we note that production is trending below the midpoint, while costs are correspondingly trending towards the upper end, largely due to a two month delay in reaching a sustainable 20,000 tonne per day operating rate at Mantos Blancos. On the corporate side, our net debt was largely unchanged at $741 million, as at June 30. Our balance sheet is in excellent shape as we ramp-up Mantoverde ahead of our next leg of growth. And turning to Slide 6. Yesterday, we released an updated feasibility study for our Santo Domingo project. This marks a major step towards the creation of a world-class district in the Atacama region of Chile, with Santo Domingo positioned 35 kilometers from Mantoverde. At Santo Domingo, we've optimized the mine plan, updated the capital and operating cost estimates, and incorporated all experience gained throughout the engineering and construction of our nearby Mantoverde development project. The 2024 feasibility study significantly enhances the mine's economics, backed by low capital intensity and first quartile costs. The construction decision and the integration of Santo Domingo represents the next phase of our transformational growth as we become a leading long-life and low-cost copper producer. We now intend to progress with the assessments of the optimal financing structure for the project, which may include bringing in a minority partner at the project level. In parallel, we will also continue to advance the detailed engineering on the project. Our team is committed to pursuing best practices in safety and environmental management, as well as continued engagement with all stakeholders as we progress our growth plans. As part of the Santo Domingo release yesterday, we also announced the acquisition of Sierra Norte, which is a concrete example of our district consolidation strategy. And with that, I'll pass over to Raman for our financial results.
Raman Randhawa: Thank you, John. We are now on Slide 7. In Q2, we recorded copper production of 40.9 thousand tonnes and copper sales of 39.7 thousand tonnes. LME copper prices during the quarter averaged $4.42 per pound, up over 15% compared to $3.83 per pound in Q1. Our realized copper price of $4.53 per pound was slightly above the LME average price, and we realized strong gross margins of $1.69 per pound, equivalent to 37% margin. We expect a large step change in our consolidated unit cost in the second half driven by our Mantoverde development project, which is currently ramping up and will represent our lowest cost production in the portfolio. Adjusted EBITDA in Q2 of $123.1 million increased by 54% quarter-over-quarter and 186% year-over-year, largely due to higher copper prices and lower costs. Moving on to Slide 8. On the left-hand side, we summarize our available liquidity, which as of June 30, 2024, was $539 million, which includes $139 million of cash in short-term investments and $400 million of undrawn amounts on our $700 million corporate revolving credit facility. Our liquidity position was largely unchanged compared to Q1, and our balance sheet is in good shape during the ramp-up of MVDP ahead of our next phase of growth. During the quarter, the last of our low-priced copper hedges that were entered into as a requirement of our Mantoverde project finance facility rolled off, and so we are now fully unhedged and stand to benefit from full copper price exposure. The chart on the right-hand side of the page illustrates our EBITDA sensitivity at various copper prices. It is very exciting that we are now on the cusp of the light blue bar, which represents EBITDA of $1 billion to 1.3 billion at copper prices between $4 to $4.50 per pound, with MVDP at full run rates. The EBITDA generation associated with Mantoverde will enable us to focus on generating free cash flow to de-lever our balance sheet and be below 1x net leverage at spot copper prices, which then provides a strong platform from which to advance our future growth pipeline in terms of Mantoverde optimize and Santo Domingo. Now I'll hand it over to Cashel for the operations review.
Cashel Meagher: Thanks, Raman. We're now on Slide 9. Pinto Valley produced 15,994 tonnes of copper at a C1 cash cost of $2.46 per payable pound during Q2, which are very competitive compared to similar grade copper mines in the U.S.A. Production performance was above the high end of our first half guidance range, while our cash costs were below the guidance range. Throughput averaged 55.4 thousand tonnes per day for the quarter, the highest level since Q1 2022. And we still see room for improvement. We are also celebrating 50 years of operations at Pinto Valley, which is a tremendous accomplishment with over a billion tonnes of resource, and our plans regarding district consolidation, we believe Pinto Valley will continue operating for generations to come. Moving to Slide 10. Cozamin mine delivered another solid quarter, producing 6,152 tonnes of copper at C1 cash costs of $1.74 per payable pound. For the first half of the year, Cozamin performed favorably relative to our H1 guidance for both production and costs. Our Mantos Blancos asset is highlighted on Slide 11. Total sulphide and cathode production yielded 10,070 tonnes of copper at C1 cash costs of $3.38 per payable pound. Production from the sulphides in Q2 was disappointing, despite record throughput, as we experienced a localized geotechnical issue, which impacted mine sequence in the quarter, resulting in lower grades and recoveries. Grades and recoveries are expected to pick back up in Q3. During the quarter, we continued to execute on our plan to unlock a consistent 20,000 tonnes per day capacity in the back end of the plant. The photos on the right of the slide from July highlight the installation of the fourth positive displacement tailings pump and the surge tank. I am pleased to report that yesterday we completed the final installation and tie-in of the new infrastructure shown, and we will now be ramping up to nameplate capacities. While this does represent about a two-month delay relative to our previous expectations, this tie-in work completed by the end of July provides for a high level of confidence that throughput rates will increase in the second half of the year. Now onto Mantoverde on Slide 12. Q2 2024 oxide production was 8,663 tonnes of copper in cathode at C1 cash costs of $3.68 per payable pound. Importantly, we produced first saleable copper concentrate from Mantoverde Development Project during the second quarter and recorded 58 tonnes of copper sulphide production with our Q2 results. The project is on track and the budget is unchanged. Turning to Slide 13. We have shown a close-up photo of the SAG and Ball mill at MVDP. In my view, our commissioning and ramp-up progress to date has gone well. First saleable copper concentrate production in Q2 occurred closer to the end of the quarter than we anticipated. This was driven by a one-month impact due to a faulty motor for the SAG mill. Fortunately, a critical spare was available. The work to replace the motor and continue it's ramp-up took close to a month. In my experience, challenges of this nature rarely occur. This instance was a fabrication error not identified in the vendor's QAQC processes. The remaining motors were retested and validated. Since restarting the operation post the replacement of the motor, we have been very pleased with the performance of the circuit. The one-month delay also allowed us to perform more testing in the flotation area in advance of copper production. In July, we have already started to see daily throughputs above the nameplate capacity, and we expect to continue ramping-up to sustained design throughput rates within the third quarter. On Slide 14, we show the flotation tanks at MVDP. On a positive note, our copper flotation circuit is operating well, and we look forward to ramping up the recovery curve. Turning to Slide 15. Yesterday, we announced the results of our updated feasibility study at Santo Domingo, which is 35 kilometers down the road from Mantoverde. I encourage everyone to watch the video linked at the bottom of the page. It does an excellent job highlighting the project, while also showcasing our district vision at Mantoverde, Santo Domingo. Turning to Slide 16. The mine plan presented today at Santo Domingo represents the next major step for Capstone in the evolution of the world-class MVSD district. Having recently completed construction at our Mantoverde development project, we have an experienced mine build team that will gradually transition to SD. The study has been designed with a focus on execution and operability, and it outlines an after-tax NPV of $1.7 billion and an IRR of 24%. Turning to Slide 17. The feasibility study for Santo Domingo outlines an actionable investment opportunity with an attractive rate of return and a short payback period. With a capital cost of $2.3 billion, we believe the mine is positioned favorably with a capital intensity of around 22,000 per tonne. The production profile for Santo Domingo is outlined on Slide 18. Santo Domingo will produce an average of 106,000 tonnes of copper over its first seven years and features a very low C1 cash cost driven by the high-quality iron ore magnetite concentrate by-product. On a coproduct basis, costs in the $1.50 per pound range over the life of the mine are very competitive. Turning to Slide 19. Over time, we plan to further augment these base case numbers with additional opportunities, including unlocking cobalt production in the district, processing Santo Domingo's oxides at Mantoverde, and continuing to explore the district to improve our understanding of the longer-term potential. The plan presented today sets the stage for two major processing centers in our world-class Mantoverde, Santa Domingo District, plus the recently acquired Sierra Norte property. Now over to Wendy King for the sustainability review.
Wendy King: Thank you, Cashel. We're now on Slide 20, with a review of our sustainability highlights for Q2. At Pinto Valley, we signed a letter of commitment for the Copper Mark with a goal to achieve the award by June 2026. We look forward to Pinto Valley replicating the success we've seen at Mantos Blancos and Mantoverde with respect to the Copper Mark assurance process. At Mantoverde, we received a Circular Value Certificate from AZA, a steel recycling company, recognizing our contributions to a circular economy and our care for the environment. In 2023, Mantoverde's impact numbers included transforming 2,681 tonnes of scrap metal into valuable resources, contributing to the creation of 2,281 tonnes of green steel, and avoiding emitting 3,991 tonnes of CO2 equivalent into the atmosphere. One of Capstone's sustainable development priorities is biodiversity. Low mobility species relocation is a key feature of responsible biodiversity management. Cozamin has trained 100 employees on what to do in the case of snake encounters and to keep both the snakes and humans safe. And with that, I'd like to pass it back to John.
John MacKenzie: Thanks, Wendy. Turning to Slide 21. We've outlined our sector-leading growth plans and some of the additional upside within our portfolio. As can be seen, we expect MVDP at its full run rate to bring us to a consolidated annual production level of around 260,000 tonnes of copper at costs around $2 per pound. We plan to release a feasibility study for our Mantoverde optimized project this quarter, which is a low-risk brownfield expansion that we think will unlock another 20,000 tonnes of copper with a highly attractive capital efficiency of around $7,500 per tonne of annual production. We released the feasibility study for Santo Domingo, which defines the next phase of our transformational growth and will take us up to around 400,000 tonnes of copper production per annum at even lower costs. Beyond that, we have further upside across our portfolio, with another low-risk brownfield expansion opportunity at Mantos Blancos, the ability to unlock cobalt in our Mantoverde, Santo Domingo district, and the potential development of a world-class district around our Pinto Valley mine in Arizona. Turning to Slide 22. We highlight the timelines for some of the studies that I've mentioned, and for other milestones as we execute on our growth plans. Building a copper production growth profile like what we have at Capstone doesn't happen overnight. At Mantoverde, we were ramping up to nameplate levels, the decision to grow production was taken nearly nine years ago. Looking across the industry, the pipeline of copper projects is smaller than it's been at any time in the past 25 years. Meanwhile, the world is going to need an enormous amount more copper going forward. At Capstone, we believe we're extremely well positioned to become a leading long life and low-cost copper producer, playing an important role in supporting the world's decarbonization efforts. And with that, we're now ready to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Orest Wowkodaw from Scotiabank. Your line is now open.
Orest Wowkodaw: Thanks and good afternoon. It's nice to hear that the ramp-up at Mantoverde is going as expected to date. Given the release of the technical report on Santo Domingo, John, I'm curious to hear what milestones need to happen for you to see that project moving forward from the sanctioning decision. The languaging in the release seemed to suggest you weren't sure if you wanted a partner, and I'm just curious if where you think the balance sheet in terms of leverage needs to be and sort of where your current thoughts are going 100% versus bringing a partner in?
John MacKenzie: Yes. Thanks, Orest. I think that's a really good question. I would say, we've got a partner at Mantoverde. I think it's been a great experience. The partner, aside from sort of bringing in some financing, actually tends to bring in a lot of other great areas of value as well. And so I would say for Santo Domingo, our base case remains to seek a 30% partner at Santo Domingo. We intend to, as soon as the full technical report is out, to commence with that process. And we'll need to sort of evaluate the benefits of doing that throughout that process. The idea would then be from that point on to – and that would probably be sort of early in the New Year to commence with the project financing process for Santo Domingo. And that would then put us in a position to take a sort of final investment decision towards the back end of next year. So during that period, we'll be progressing some work as well at Santo Domingo. I think best practice in terms of taking a full investment decision is to have, for example, detailed engineering at sort of around to at least 30% advancement. We'll probably be placing certain sort of long lead time orders that helps to lock in both the cost and the schedule of the project. So there are a number of steps that we'll be looking to take. And then ultimately, the final decision will also be sort of taking a look, obviously, at our internal sort of balance sheet position, how our cash flow generation has gone, what the sort of our net debt position is at the time, and obviously taking a bit of a look at the kind of macro environment. And taking that all into account will sort of guide us towards what is the optimal timing to take that sort of go-ahead decision at Santo Domingo.
Orest Wowkodaw: Thank you.
Operator: Your next question comes from the line of Dalton Baretto from Canaccord. Your line is now open.
Dalton Baretto: Thanks. Good afternoon, John and team. I was wondering if we could get a little bit more color on the Mantoverde sulphides ramp-up. Maybe talk a little bit more about how sustained you're seeing the run rates close to our design, and maybe a little bit of color on the recoveries as well? Thank you.
John MacKenzie: Yes, certainly. And I'll ask Cashel to respond to that question.
Cashel Meagher: Look, the ramp-up's going great. We had that interruption that we mentioned during the course of the call here with respect to the SAG mill motor. That was unfortunate. Obviously, we had a critical spare for it. So what we did is we found a way to test with the vendor all the other motors. We're pretty certain we're in a good position now to continue milling sort of sustainably. The real color on the ramp-up has happened here in this month that just passed in July. What the way I would describe it is we were milling sort of at throughput rate almost for half the time. We had things we had to fix, so – had to reduce milling rates or that sort of thing, but that's a really good sign. That's what you expect in your first sort of run of the mills at full speed with full charge. So that went really well. And unfortunately, too, we were producing concentrate through that whole period. So that's very encouraging. And so we think we've got a bit of a leg up on optimizing the recovery curve going forward. As with these things, after a certain number of hours of running, when you first commission and you run through the ramp-up, you need to take down the plant to fix and correct punch list items and items that are required for warranty assurances by the various OEM vendors. So we're going to probably do that. That'll be probably a week to two weeks in the month of August that we'll do that. But otherwise, we're unfettered. There's really nothing in our way now to continue with the ramp-up at full capacity. The mine's been waiting and it's ready. And that's what we intend on doing. And we will concentrate now on the quality of the plant's performance, which is to increase its recovery over time.
Dalton Baretto: That’s great. Thanks for that Cashel. And then, yes, sticking on the operation – operating theme, it's been pleasantly surprising to see Pinto Valley string together two such good quarters in a row. And I'm just wondering, do you think that that 55,000 tonne per day rate is a sustainable and a go-forward basis, and whether you could push that a little bit? Thanks.
Cashel Meagher: Yes, Dalton, we love seeing Pinto Valley run without interruptions. We put together an asset integrity framework, and we're starting to yield results from it. And really, Pinto Valley is the furthest ahead in that process of implementation, and we're starting to see it. As you well know, we just announced, this is 50 years of operation at Pinto Valley. It requires special care and maintenance, and now we have systems, process, and management in place to do that. So we're encouraged by what we see in the run rate. And the team itself is telling us there is capacity to do a little more. So we'll encourage and give them the resources required so that they can achieve that going forward.
Dalton Baretto: That’s great. And if I can just squeeze one last one in. On Santo Domingo, congratulations on that study, by the way. One of my big concerns with the project has always been the drop-off in the copper grades. And so seeing this Sierra Norte acquisition makes a ton of sense. And I'm just wondering, either with other sort of lookalikes that you can purchase or on your property, how many more tonnes do you think you can add around that 0.4% copper grade?
John MacKenzie: Yes, that's a good question, Dalton. And I think we're kind of spoiled for choice. And when you, Dalton, start to seeing the decline in grade in Santo Domingo, you're talking sort of eight, nine, 10 years out. And between now and then, we've obviously got to approve the project. We've got to build the project. So you're really talking a period that's sort of somewhere in the range of kind of at least 10 to 12 years from now before we're really seeing any drop off in grade. And we've got enormous exploration potential on our own property. More than half of the Mantoverde lease area sort of along the Atacama Fault is unexplored. You're probably aware that we've put together a budget to commence some exploration work there. And I think we're quite confident that we're going to be expanding sort of our own resource base over time and whether that's on our Santo Domingo property or our Mantoverde property. Or as you point out the district itself has multiple, what I would call, sort of stranded satellite deposits, that I believe we can at times of our choosing look to pick up and convert sort of these operations from sort of 20 years life to sort of 30, 40, 50 years life. So I don't see really any constraints in that district on in terms of resource potential. And as I say, sort of we've obviously done the acquisition of Sierra Norte. It's got a historical sort of resource there, around 100 million tonnes. We need to see sort of what comes out of our internal drilling programs. And the opportunity here is that time is on our side. We've got at least sort of 10 to 12 years to really be thinking about what is the best way of utilizing the infrastructure that we will have built in this district. And that infrastructure, we're going to have two processing centers, two desalination plants, a port, electrical substations, a vast resource base on our own current property, a lot of exploration potential. It gives us multiple options in terms of how we look to extract value going forward.
Dalton Baretto: That’s great. Thanks, John. That’s all for me.
John MacKenzie: Thanks, Dalton.
Operator: Your next question comes from the line of Ralph Profiti from Eight Capital. Your line is now open.
Ralph Profiti: Thanks, operator. John, I'm wondering how might the $2.15 billion CapEx at Santo Domingo fluctuate with some of the desalination options that are currently being looked at, everything from sort of the BOOT strategy, which is the default, to potentially expanding existing desalination capacity. Just wondering, whether, Capstone sees itself as a builder, a partner, or even a capital provider on some of these options and how that may affect both the CapEx and the operating costs?
John MacKenzie: Yes. Yes, look, those are good questions. And maybe just taking a small step backwards is obviously we have a desalination plant at Mantoverde. We've got a huge amount of space around it. And it is slightly closer to Mantoverde and Santo Domingo than the Santo Domingo port site is. However, that desal plant is not currently permitted to sort of provide the additional water that's needed for Santo Domingo. So we did take the decision to proceed in our base case with the Santo Domingo port plus desalination plant. That retains our position as being sort of fully permitted, construction-ready project. The incremental capital cost is not really terribly meaningful because if we were to expand the Mantoverde plant, we would in any case need to put in a new pipeline sort of into the sea. We'd need to sort of build a new sort of facility, a reverse osmosis facility. So the basic difference between the two sites is a few additional kilometers of piping between where we are at Santo Domingo port and the Mantoverde port. So as you've pointed out, we've opted to go on a sort of BOOT up contract on the construction of the desal plant. Clearly, what we've incorporated into that is the – and we've spoken to quite a few different providers. So it's really just a question of what is the split we want to do between what we put into capital versus what we put into operating cost. And I think you've obviously seen our base case, and we think that's an attractive scenario. The – another alternative would be to see whether we wish to, in the interim, permit an expansion to our Mantoverde desal plant. But I don't know, Cashel, do you want to add any numbers into that in terms of what the differences would be? I don't think...
Cashel Meagher: Yes. I think just, it's becoming an efficient and regular business now in Chile for these specialized companies to build and run these desal plants because they're required not only for industry but for communities. And so there's quite a competitive industry, and that's why we're very confident in the BOOT-type contract. But an equivalent sort of build would be in the order of additional capital to our current estimate of $200 million to $300 million.
Ralph Profiti: That’s very helpful. Thanks, John, and Cashel.
John MacKenzie: And you'd obviously get that back again in the OpEx side, because you're basically going to be sort of paying off that capital. But I think the – obviously, the companies that are putting together these desal plants tend to have a pretty low cost of capital. It's – they're effectively utilities. So it's fairly close, I would say, in terms of one option versus the other.
Ralph Profiti: Got it. Yes. Thanks, John. And Cashel, if I could swing it back to you on Mantos Blancos, and I appreciate the sort of line of sight to getting to 20,000 tonnes a day. I guess my concern a little bit is on the grades and the recoveries, which sort of quarter-over-quarter were lower than what I was expecting. I was wondering if you could just maybe give me a little hand on looking at how that second half of the year looks?
Cashel Meagher: Yes. So the second half is looking better than the first half. We had, like we mentioned in phone call itself, we had a bit of an interruption due to a geotechnical issue and we had to switch out our sequencing a little. So we went into an area of the mine that was going to be more blended in with what was happening. The type of ore then, when you lose one area, you have to mine higher volume in another area. And that type of ore was supposed to be blended in as per the mine plan for Mantos Blancos. And so going forward now, we get that area available to us again. And so we'll make up the balance in the second half. And certainly, we're really happy with the way the work has gone, although it's a little late, as we mentioned, a month or two late. But the back end of the plant for the tailings delivery system with the pumps and tanks is all complete now. And they're starting to ramp-up to get to the 20,000 tonnes again, so we see ourselves recovering here in the…
Ralph Profiti: Fair. Thanks very much.
Cashel Meagher: Thanks, Ralph.
Operator: [Operator Instructions] Your next question comes from the line of Craig Hutchison from TD Cowen. Your line is now open.
Craig Hutchison: Hi. Good afternoon, guys. Just with regards to your guidance, cash cost guidance from Mantoverde, was the original expectation to be commercial production in Q3? And just kind of curious when you think you would be in commercial production, and is there a risk to your guidance, just given that one-month delay you guys discussed earlier?
John MacKenzie: Look, our guidance takes into account where we stand today in terms of our knowledge of the – and what we're observing in terms of the Mantoverde ramp-up. I think Cashel described we're very comfortable with how it's looking and how it's proceeding. I might just pass you across to Raman just in terms of how we're thinking about the switch to commercial production from what would have previously been capitalized.
Raman Randhawa: Yes, I think it would be very similar, Craig, to like the guidance that doesn't – the one-month doesn't change it, so commercial production would be like 75% of nameplate capacity is the test, and we should kind of hit that in Q3 there. So Q3, kind of September-ish, probably is when we actually officially start reporting C1, so that kind of fits in with the guidance we gave before of Q3 and Q4.
Craig Hutchison: Okay. Great. And just on the Santo Domingo, you guys are proposing to produce three different products of magnetite from 62% to 67%. I just wonder if you've had some preliminary offtake discussions or sent samples off overseas, just kind of get a sense of what the demand is and if you can provide any color in terms of any feedback you may have had on that at this point. Thanks.
John MacKenzie: Yes, so there has been – there certainly have been discussions with off-takers. There's been a huge amount of first of all, test work. And I think, this latest, this update to the feasibility, I think also involves fairly material improvements to the iron circuits, actually. So I think we've got a lot more confidence in our ability to produce each of those products. I'll just pass you across to Peter Amelunxen, just to give a little bit further comment on the kind of iron ore and the salability.
Peter Amelunxen: Yes. Yes, thanks, John. We have produced samples and had them tested at respected international labs and shared those results with potential off-takers. And we do have quite high confidence that we will be able to make the grades that we are setting forth in our technical document. I should note though that the way we've configured our concentration circuit, we will be producing only two grades at a time. So whether that's a 67% and a 65% or a 65% and a 62%, that will depend on the nature of the ore and the liberation characteristics coming into that. But we've set it up to be able to handle the two independent grades from the concentrator all the way through the port with sufficient storage capacity at the port to manage those independently. So we're quite confident that we'll be able to do it. And by doing it this way, obviously we maximize the recovery from both the high grade and the low grade. So it's a significant improvement over the last iteration.
John MacKenzie: Yes. And thanks, Pete. And certainly, the feedback from potential customers has been very positive.
Craig Hutchison: Thanks. Appreciate the answers.
John MacKenzie: Thanks, Craig.
Operator: There are no further questions at this time. I will now turn the call back to Mr. John MacKenzie. Please continue.
John MacKenzie: Thank you. So we look forward to updating you again in late October with our Q3 results. And until then, stay safe and feel free to reach out to Jerrold or Daniel if you have any further questions. Thank you for your continued support and have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.